Operator: Good afternoon, ladies and gentlemen. Welcome to the 2015 Fourth Quarter Results Conference Call. I would now like to turn the meeting over to Mr. Louis Juneau. Please go ahead, Mr. Juneau.
Louis Juneau: Thank you. Good afternoon, everyone. And welcome to the Uni-Select 2015 fourth quarter and year-end financial results conference call. Before we proceed with the presentation, I would like to remind you that certain information discussed during this call may constitute forward-looking information within the meaning of Securities Legislation. Caution should be used in the interpretation of such information. For details, please refer to our disclaimer regarding forward-looking information in our latest annual report available on SEDAR, as well as in the press release issued last night. Joining me here in Boucherville, this afternoon, are Henry Buckley, President and CEO; Eric Bussières, CFO; Gary O’Connor, President and COO, Automotive Canada as well as Steve Arndt, President and COO, FinishMaster. I will first turn the call over to Henry, who will discuss the key highlights of the last quarter and present some of Uni-Select’s ongoing operational priorities. Eric will then discuss important financial elements for Q4. After their presentation, we will open up the call to questions. Henry?
Henry Buckley: Thank you, Louis, and good afternoon, everyone. Thank you for joining us. I want to begin my remarks today by expressing how pleased I am with our performance in Q4. Most particularly, I’m delighted that both our automotive products and our automotive refinish groups continued to deliver healthy and dynamic organic growth, reaching 2.6% on a consolidated basis. These results are in line with the steady growth performance we have recorded for the full year. The Q4 organic sales growth for Automotive Canada was up 2.3% in Q4 and up 1.80% for the full year. In Canada, the Prairies provinces are impacted by the economic slowdown in the oil and gas business. If we excluded the Prairies, Automotive Canada experienced 5.7% organic growth in the fourth quarter and 4.6% organic growth for the full year. At FinishMaster, the Q4 organic growth was 2.8% for the fourth quarter and 3.3% for the full year. A number of factors contributed to the solid performance, namely the development of an increasingly customer centric business strategy, success of our ongoing customer recruitment efforts, our commitment to maintaining high fill rates and offering superior customer service as well as overall price increases. The fourth quarter also marked completion of the first six-month -- full six-month period since the sale of assets of Uni-Select USA and Beck/Arnley Worldparts on June 1, 2015. Accordingly, we are gradually starting to see the emergence of Uni-Select’s new profitability profile. While Q4 remains a smaller quarter due to the seasonality factor, our adjusted EBITDA margin reached 7.7%, up 1.2 points from 6.5% for the same quarter last year. Net earnings grew a robust 22.7% to $13.9 million while net earnings per share reached $0.65 up from $0.54 last year. The declining Canadian dollar impacted earnings per share by $0.02 for the quarter compared to same period of 2014. As a complement to our organic growth focus, we’ve also completed several accretive acquisitions over the course of Q4 and shortly after the quarter end. In the automotive parts segment, we completed in the early October the acquisition of the remaining 50% equity interest in Malbaie Auto Parts and the assets of AFCAR Auto Parts, thereby strengthening our position and presence in the province of Quebec, noting these are smaller sized acquisitions. In November, we concluded the acquisition of the assets of T.N. Discovery Auto, expanding our reach into the automotive refinish segment in Ontario. Finally in December, we completed the acquisition of the remaining 50% equity interest of Colwood Auto Supply from British Columbia with seven locations and also the assets of B.H. McFarlane Automotive with one store located in Ontario. Subsequently, we announced this week that we assigned an agreement to acquire Jean Talon Auto Parts and Gagnon Auto Parts with several locations in Montreal. In addition, we acquired M.A.G. Auto Parts in Sherbrooke. These transactions along with several others completed earlier in 2015, reaffirms our commitment towards the development of a strong corporate store network across Canada. After the closing of these recent transactions, we will have 48 locations. In the near future, all of our corporate stores will feature the recently re-launched Bumper to Bumper store brand in addition to the more than 100 jobber stores already using this brand. To confirm again, in addition to our corporate store growth, we continue to be highly focused on growing our business with all of our independent member customers across Canada. Now, turning to the paint and related products segment, we announced the acquisition of the assets of Refinish Solutions, expanding FinishMaster’s footprint in Virginia and Washington DC metropolitan areas with two locations. At the turn of the year, we also concluded and almost immediately completed in the early part of 2016, an agreement to purchase substantially all of the assets of ColorMaster Automotive Paint, a 15-location automotive refinish business with activities across four states. This acquisition, both expands our geographical coverage and builds more density in these Midwest markets. These acquisitions bring our current FinishMaster’s store count to 187. Now, we’re working very hard to ensure the efficient integration of our new acquisitions, we have established and standardized processes and integration teams in both businesses. These newly acquired entities enable us to strengthen our leadership positions from coast to coast, both in Canada and in the U.S. Before I conclude my remarks and discuss more ambitions and priorities for 2016, let me now turn the call over to Eric Bussières, over to you Eric.
Eric Bussières: Thank you, Henry. Good afternoon every one. Before anything, I would to emphasize once again that as a result of the closing of the sale transaction on June 1, 2015, the Q4 results presented yesterday and discussed on this call, exclude the results of Uni-Select USA and Beck/Arnley Worldparts, both on a consolidated basis and within the automotive segment, but are compared against a corresponding fourth quarter of 2014, which included the results of these assets in full. The same holds true for the first five months of our 2015 results. Another important factor to consider when analyzing our results is the further weakening of the Canadian dollar. As it has been the case for several quarters in a row, the declining dollar continued to be an important factor when comparing our results year-over-year with consolidated negative impact of 6.3% or $66.5 million on our sales and the equivalent of $0.10 in earnings per share in 2015. In the fourth quarter alone, the lower Canadian dollar accounted for 15.1% or the equivalent of $17.5 million of revenue translation loss that impacted the automotive sector and a 13.9% decline in the full year. A $0.01 fluctuation in Canadian dollar results into approximately $300,000 of EBITDA movement and a little over $0.05 a share. I would also like to cover a few elements that impacted the fourth quarter. The healthcare claim that was registered in FinishMaster during the quarter was higher than our usual run rate by approximately U.S. $1.1 million. This translates into approximately $0.03 a share. The stock-based compensation in Q4 resulted into additional cost of approximately $0.02 a share compared to Q3. In spite of the series of acquisitions we have completed recently and continue to complete for the future, we are still essentially net debt free. As of December 31st, the Corporation had a net cash position of $1.1 million and unused credit facility of $321 million. This provides Uni-Select with the financial resources to pursue its growth effort by actively seeking business acquisition opportunities, both to extend our footprint and grow our market shares, as well as to protect and consolidate our existing [indiscernible] wholesalers business. Entering 2016, we would like to reiterate our EBITDA guidance in the range of 7.5% to 8.5% of sales, and an expected $1.1 billion to $1.15 billion of revenue depending on the exchange rates. Factored into this guidance, we would like to bring to your attention that following the disposition of our Uni-Select USA and Beck/Arnley Worldparts, we are left with an estimated negative synergy of U.S. $4.3 million per year, attributable mainly to our ERP system. These expenses will be presented on our corporate and other segment. We obviously will work extremely hard over the foreseeable future to mitigate those costs as much as possible. As a reminder, our businesses are seasonal and the second and third quarter are traditionally our strongest in the year. For 2016, our capital expenditure program is set at U.S. $20 million, of which approximately 50% is reserved for maintenance CapEx purposes. Going forward, the Corporation is in good position to pursue its growth strategy and to seize any sound business opportunities that arise. With an expanded M&A valuation and an integration team, as well as an operations team that have extensive industry experience, we are in a better than ever position to support the corporate growth targets and strategies. This completes my financial review. Back to you Henry.
Henry Buckley: Thank you very much, Eric. Before I turn to 2016, I wish to take a moment to congratulate and sincerely thank our 2,700 teammates including almost 300 new team members who have joined us through these acquisitions in recent months. We are extremely proud of the progress we have made and of the successful transformation of Uni-Select this past year. As we now turn to 2016 and beyond, our focus remains the same. We will continue to deliver growth through our two-pronged approach, a healthy combination of organic and accretive acquisition driven growth. More specifically, we’ll spare no effort to continue to strengthen our brand, improve the speed and efficiency of our distribution networks, and work harder than ever before to offer each of our 6,000 collision repair center customers, our 1,150 independent Canadian customers, and over 3,900 installer customers access to the best service, the best products, and the best team in the industry. In closing, I am pleased to announce that our Board of Directors has approved earlier today another quarterly dividend of $0.16. This decision reflects the Board’s and management’s ongoing commitment and level of confidence in our future. Thank you. And we are now ready to answer your questions. Operator, could you please open the call up to questions?
Operator: We will now take questions from the telephone lines. [Operator Instructions] Our first question is from the Anthony Zicka. Please go ahead.
Anthony Zicka: Good afternoon, gentlemen. Henry, could you give us a bit of color in terms of -- was there any inflation rate pushing through in Canada and the United States, and was there any challenge, if that was the case?
Henry Buckley: Are you talking about inflation in terms of inflationary pressures from our suppliers in terms of product?
Anthony Zicka: Yes, and if you could -- if you were able to pass it through, if that was the case.
Henry Buckley: Yes, I think that’s been fairly typical for us, Tony. We get -- and we’re in an industry where price increases happen on a -- in the U.S. on a regular basis. And we have a long history of being able to pass those price increases through to customers and we certainly do our best to optimize those opportunities as well. I think in Canada, we are seeing the price inflation for the first time in 2015 in many, many years. And I think we’re seeing a number of changes in the prices in Canada throughout the course of the year. And we’re able to pass those price increases through. So, I think that is part of the reality. And we’re likely to see a bit more of that in Canada today and I think we’re going to see little bit more of that in the U.S. as we go through 2016.
Anthony Zicka: Okay. So, it’s fair to say, there wasn’t any impact on your margins…?
Henry Buckley: No, negative impact. No.
Anthony Zicka: Okay. And Henry, have you noticed any change in the consumer behavior in the first quarter where we’re in? And was there any impact with weather positive or negatively? We saw in the news East Coast being dumped with lot of snow. So, can you comment briefly on that?
Henry Buckley: I’ll give you a high level and I’ll pass it to Gary and Steve. But I think we’ve had a reasonable January. I think we’re up in both businesses. So, I mean the weather this winter hasn’t been exactly extreme. So, maybe you guys can comment. And Garry, in terms of Canada, any impact?
Gary O’Connor: Compared to last year -- last year we had a lot of store closings; we haven’t had any this year. So, I’d say overall, it’s been benign, no negative or no positive. I think kind of business as usual overall.
Henry Buckley: Steve, in FinishMaster?
Steve Arndt: I would agree with Gary. I mean, we’ve had snow days this year, maybe not as many as last year, but really no impact so far this year.
Henry Buckley: You had more snow in the -- directly in the U.S. East Coast earlier on…
Steve Arndt: On the East Coast, we sure did. And we had the same thing last year but it lasted little bit longer. So, really no impact this year so far.
Anthony Zicka: And then question for Eric, you did quantify the impact related to incentive [ph] stock base; what about medical claims and could there be more to come, expenses?
Eric Bussières: Look, obviously, we can’t predict those things, right? Those are claims that were higher than our usual experience by about $1.1 million in the quarter. So, hard to me to tell you that. Is that exceptionally high compared to our past experience? The answer is, yes. Can it repeat itself? Who knows? Normally, we feel that the way account and the way we accrue for those expenses is sufficient. It just happened that we had some surprises in Q4.
Anthony Zicka: Okay, wasn’t anything to do with any legislations or changes in policies, was just one-time event?
Eric Bussières: Correct.
Henry Buckley: To be fair, this can happen in the future. So, we have no control over [indiscernible] and every once in a while will get a surprise. And I think that does encourage us to look at our staff loss policies and insurance to make sure we have the right coverage. I think, we’re going to do that as a takeaway to make sure, we do that as prudent business ongoing practices, nothing out of normal.
Anthony Zicka: And then one last question, looking at your investments and working capital, is that going to reverse that trend, Eric or are we investing more to improve fill rates, going forward?
Eric Bussières: Look, I don’t think it’s going to degraded to more at this point. I think the view is we obviously wanted to increase our fill rate, we also took advantage of certain special volumes [ph] program towards the end of the quarter. And part of this is also on an inventory front, we had some inventory coming from the acquisitions obviously and it will work through the system in the next couple of quarters. But I think that the current inventory level is an adequate level and we’ll try to optimize this further down the road.
Henry Buckley: I’d say that’s fair. You guys have heard me talk about over the last year is that fill rates in our business is absolutely critical. So, we are making sure we have -- and we’re stabilized in that situation. We have very strong fill rates in both businesses today. We have the right level of inventory. But at the end of the day, we’ve also been very prudent and been able to buy at a price increases whenever is possible. And that obviously has a short-term impact on working capital but has a very significant impact in our margin ability. So, we’ll certainly take advantage of those on an opportunistic basis moving forward. But as Eric said, we’re going to continue to optimize and look at our supplier base for terms and all of those kind of things that you would normally do as a normal course of business for us.
Operator: Thank you. Our following question is from Sara O’Brien. Please go ahead.
Sara O’Brien: One of the questions I am getting from investors is I guess little bit of surprise that the guidance wasn’t changed for 2016, given the number of acquisitions that have been made. I understand FX is probably partially to blame on the top line but just wondered on the margin front. Is there any kind of color you can give us in terms of what would cause you to be at the high end of the 8.5% and what would cause you to be at low end?
Henry Buckley: I’ll let Eric answer in a second. What we did and if you remember going back six months ago, we were in the 7 to 8 range in our EBITDA margin. So, what we have at the 7 to 8 range, we’ve increased it to 7.5 to 8.5 and we’re comfortable with that. And remember as we acquire companies, we don’t get the benefits of all of the synergies at the EBITDA line until we integrate those businesses. You have upfront integration costs that we have to absorb; those ones hit you in the front end. We also have time, as we talked about a minute ago, to integrate the inventories. So, you will get some of those independent distributors that may have an inflated inventory positioned. They have inventory at old costs and those old costs need to turn through the system before we can replace that inventory, replenish it with our lower cost inventory from ourselves. So, all those things take time. So, I think what we’ve been quite frankly prudent in doing the same up. We see the guidance being more in the 7.5 to 8.5 range. And we’re clearly pushing for the higher end of that range. But in seasonality, we’re sitting at 7.7 for the Q4 in the slower quarter and we expect that to pick up in Q2 or Q2 and Q3 in 2016. And in terms of the sales, let me Gary and Eric say, we had guidance of 1 billion and we’re kind of raising that to that sort of 1.15 billion range and that is impacted as you will note by the exchange rate impact of the Canadian dollar. Eric?
Eric Bussières: Yes. Look, I think Henry you covered it. Obviously as those synergies kicks in, we’ll be -- those acquisitions will become even more accretive. So, Henry said, we obviously are focusing to try to increase our EBITDA percentage over time. But as you can imagine, we need to work through those inventory levels that we’re buying when make those acquisitions.
Sara O’Brien: You commented that there is a 4.3 million negative synergies and ERP costs that will run through corporate. So what’s the regulator corporate run rate we can use for negative EBITDA going forward, on a per quarter basis?
Eric Bussières: So, the annualized corporate run rate is approximately U.S. $11.6 million is how I would respond to that question. And that will encompass the synergies that we talked about of 4.3 million.
Sara O’Brien: Okay.
Henry Buckley: And I want to make sure everybody knows, on the 1.3 -- we declared the 4.3 million when we closed the sale of transaction. We knew that going in upfront. We’ve got an ERP platform here today that resides for both businesses. And we’ve reduced the cost in that ERP platform substantially. But we can’t reduce it to the level and the scale of the Canadian business versus the combined business, you just can’t do that. So, we do have some stranded cost there. And I think I’ve talked to a number of folks, straight up talked about in earlier calls, but we want to face into; that is what it is. And as an executive team, we’re going to work very hard to mitigate as much of those costs as possible. But they are today and there is kind of an annuity expense unless we can get rid of those.
Sara O’Brien: Okay. And just to be clear, the 4.3 all go through corporate charges, none of it’s being allocated to Canada?
Henry Buckley: No, it’s not related to the Canadian business, so we’re putting it to the corporate because that is really a result and impact, a direct impact of the sale of the U.S. auto parts business.
Eric Bussières: I think, Sara, the way you should think about it is the cost that was allocated [indiscernible] business remained; those costs are still the way they were and the cost can allocate, [ph] again business has been moved to the corporate segment.
Sara O’Brien: Organic growth outlook, maybe Steve, if you could comment on FinishMaster, we’ve seen beginning of ‘15 had great organic growth for FinishMaster. It’s kind of decelerated through the year, including into Q4. Just maybe if you could explain what’s behind that and maybe what the outlook is for 2016?
Steve Arndt: Sara, the growth is still there and ‘16 looks very optimistic. A lot of it is about timing of bringing on new accounts, whether it’s the MSO segment where it takes a little bit longer to integrate those into what we’re doing versus the traditional independent. So, you will see an ebb and flow as we go along with that based on the different segments of customers we’re bringing along. But 2016 looks very encouraging for continued organic growth and that is our major focus that we have in FinishMaster for this year.
Sara O’Brien: Would you hedge here to put in some kind of a target for organic growth?
Steve Arndt: No, I wouldn’t at this time.
Sara O’Brien: Okay.
Henry Buckley: So, I think to be fair, this is our actual focus in both businesses. We’re going to have to deal with the what the economy is handing out. We’ve already talked a lot about having low mid singles; that’s always been the guidance we’ve talked about. And that’s certainly our target and we’re seeing that happen in Canada, we’re seeing it happen in FinishMaster over the course of the year. I think we’ve just seen a bit of a timing issue there. But Steve’s team is highly focused on driving that number higher from very low singles to mid single, that’s kind of where the direction we’re headed. That’s what we’re pushing on. So, it’s really hard to give you a number until we get a little closer.
Sara O’Brien: And then maybe on balance sheet, if you can comment a little bit about the opportunities you see in front of you for M&A in terms of corporate stores in Canada and in FinishMaster? I just wonder if the expectation is for continued tuck-in acquisitions or do you feel confident that there might be some bigger deals to go after here?
Henry Buckley: It always depends on what you call bigger deals. And I know this is sometimes frustrating for all of you. And I think in my comments here highlighted a couple of small ones. So, I think the answer to give you is that we are continuously focused on larger, even up to transformational type transactions. They don’t come about that often; not as many targets as you think. However, we are continuously focusing on those. But in the interim, we’re going to continue to have sort of steady diet of tuck-ins and we’ll continue to do that. You saw that when we acquired Jean Talon -- or not acquired yet but we certainly have an agreement to acquire Jean Talon, we announced this week. That’s a nice example of seven-store business, very much in a comfort zone, sweet spot for us. But there are larger transactions we’d like to work on and we continue to pursue those opportunities.
Sara O’Brien: And if those larger transactions don’t materialize, is there a point where you just feel like your balance sheet is under levered and maybe you look at share repurchase or something for to get back to normalized optimal capital distribution?
Eric Bussières: It’s always a possibility, Sara, but I would tell you that with the number of opportunities and discussions we’re having with different players in the market today, I doubt very much that we’re going to reach -- we would reorient our strategy towards the end that you’re indicating. I think that we have a very healthy M&A pipeline right now with the good opportunities, and we’re working very hard on those as we speak.
Henry Buckley: Sara, I am more excited than ever quite frankly at the size of the pipeline and the target quality that we have in the pipeline. So, I am not anywhere near there yet, that’s a long way from where we are standing here today. So, our job is to execute. And I think what you’ve seen from us is 16 transactions over the last 12 months that’s a fairly significant jump in our acquisition approach. The team is there and we’ll continue to work on those targets. And we’re not even at this point considering looking at those type of other activities. If we are, we probably have some other issues. We’ve got lots of business opportunity in front of us.
Operator: Thank you. Our following question is from Benoit Poirier. Please go ahead.
Benoit Poirier: Just to come back on the organic growth for automotive. Could you provide more color about the percentage of automotive revenues from the Prairies?
Gary O’Connor: There is no doubt Prairies had a rough year this year. I think they were -- really affected our numbers. So, Benoit, if you want to give me a second…
Henry Buckley: Give him a second. Remember I mentioned the actual growth excluding the business.
Benoit Poirier: Just looking at the percentage wise, not on the organic growth basis but is it about third 20% of your revenues?
Eric Bussières: It’s about 28% of the revenue of the Canadian segment.
Benoit Poirier: Okay, perfect. This is the information, I was looking for. And maybe could you provide some comment on the expectation for 2016, given what’s happening in the Prairies and what type of growth rate we might see for the automotive business.
Gary O’Connor: It’s really hard to predict what’s going to happen in the Prairies. As you know, I think last year was a tough year. Is it going to go down and then further flatten [ph] out, it’s really hard to say right now. But there is no doubt that we’re trying to change our product mix to make sure that we meet the new market needs, new reality there, so that we can take advantage of when we have -- whatever opportunity there’s in Prairies. So, your guess is as good as mine on what’s going on the price of oil and the whole economy over there.
Henry Buckley: To put it in context though, we’re not -- we’re in the automotive business. So, we’re not selling machinery directly into oil and gas segment; we’re affected by the overall economy. So, I think the market is down for us 5% to 6%, which we think is a relative good performance in the light of the environment in that market. So, we consider our market share to be as strong or stronger than what it was. So, if you then look at the second part of your question, which is the growth outlook in Canada, we’re very optimistic in terms of all of the things we’re doing in terms of the independent front and all of the things we’re doing on the corporate store front. So, as we build out these corporate stores, we install our processes, give them offerings to a broader range of products, we continue to be optimistic in terms of the growth profile of the Canadian market. And as I said earlier, we had a very strong year in terms of growth at 4.6%, excluding Alberta in Canada.
Benoit Poirier: Yes, and when did you start to see some softness from the Prairies back in 2015?
Henry Buckley: First quarter.
Benoit Poirier: Q1, okay, perfect. And just looking at the FX movement last year, you recorded some pretty nice margins on the automotive side, given you were able to buy back some inventory ahead of the price increase. So, I’m just wondering with the movement in the FX, whether you see that kind of opportunities going through the year?
Eric Bussières: Yes, there is no doubt -- I think, we’ll continue to see smart opportunities going forward. I don’t think we took advantage of where we had last year. And from that standpoint 2016 should be somewhat similar to 2015.
Benoit Poirier: And just in terms of stock-based comp, is there any sensitivity given your stock is down almost 20% from its 52-week high; should we expect a slight benefit in the coming quarter?
Eric Bussières: It depends, what you’re saying -- it’s a difficult question to answer Benoit, because it depends on the price of the share and what the market does. So, stock price and the benefits are not dependent on one day trading, so…
Benoit Poirier: Okay.
Eric Bussières: And you’ve got to understand that the way to program works is it’s a program over a three-year period. So, it’s a third, a third, a third from allocation perspective of PSU. [Ph] So, it’s not all or nothing so to speak.
Benoit Poirier: Okay, perfect. And any comment on the ramp up of the private label?
Henry Buckley: Well, we have private label in both businesses. And I think we’re going to maintain and continue to steadily grow that business. But we still see there is a same rough percentage of the overall business, as it is today. It may creep up slowly but that’s not our primary strategy. In both cases, we’re national brand houses, both in the automotive segment and in the auto refinish segment. We’re focused on the national brands. So, we use those private brands to be very complementary in filling the market segments that are not occupied by those national players. So that is our strategy, but you will see more of it, but it’s not going to overtake.
Benoit Poirier: Okay, perfect. And last question, you provide some color about the guidance, the CapEx for 2016, any color about free cash flow given the potential inventory movement, what we should be looking for in 2016?
Eric Bussières: I’ll have to get back to you, Benoit, on that in view of the question.
Benoit Poirier: Okay, perfect. Thank you very much for the time.
Operator: Thank you. Our next question is from Michael Glen. Please go ahead.
Michael Glen: Just in terms of -- just to circle back on the inflation question in Canada, are you able to give a sense as to how much prices have increased year-to-date in 2015?
Eric Bussières: About 2%, 2.5% is our estimate, Michael.
Michael Glen: Plus 2% and 2.5%? And is it fair to say that you’ve held back to some degree in terms of some of the pricing inflation at this point?
Eric Bussières: How do you mean held back?
Michael Glen: Well, just given the move in the Canadian dollar, I would have thought maybe you would have a little more price inflation than that.
Steve Arndt: No, but it’s a blended. This is all of our product lines, so some are more, some are less. That’s our best estimate.
Henry Buckley: So, the mechanics of this Michael are not that our products go up in a direct correlation with the exchange rate. Our products go up but based upon when the manufacturers decide to install a price in Canada. And obviously with the pretty violent exchange rate change over the year, manufacturers are quite frankly probably subsidized in the Canadian market based upon the level of price increases they can install. So, they know they have to up but they can’t compensate 100% for the exchange factor. So, I think we see that they’re entering in at multiple small price increases over the course of the year, as opposed to any 1 or 2 big violent one.
Michael Glen: And then just onto FinishMaster again at growth, I mean, when you look at the commodity move that has happened for the inputs on paint, what’s the view there in terms of potentially getting price deflation occurring in that market?
Steve Arndt: Traditionally, there has not been any deflation in the market. And we, talking with the manufacturers and looking now forward, don’t see that happening in 2015.
Michael Glen: Are you able to give for Canada, are you able to provide -- we have two quarters of margin right now; are you able to give what the Canada full year margin was?
Henry Buckley: No, we’re not giving that out at this point. We’re trying make sure that you get this up back or you know what it was for Q3 and we kind of explained everyone at that time that is one of our two biggest quarters. So that was a very strong performance. Now, you’ve got a taste of Q4. And please be patient. It won’t be that long before we hit Q3 and you got full year.
Michael Glen: And just Eric, you highlighted I think the $11.3 million on the corporate expense line; that would include the negative synergy…?
Eric Bussières: Yes, it includes the negative synergy of 4.3 million and the amount that I gave was U.S. $11.6 million.
Michael Glen: 11.6, sorry. Okay. And then, are you guys able -- ColorMaster, this is a 15-location acquisition. Are you able to give us a sense as to what we should build in there for a revenue contribution from that particular deal?
Henry Buckley: That’s something we just -- we’re not going to grow the lemon dew [ph]. We get to a material transaction and material is very substantial for us, given the size of our overall organization. So what we don’t want to get into Michael is kind of going into those. I think you can figure out relative terms, 15-location. There is no average size location because they’re different in automotives, they’re different in auto refinish; they’re even different within each of those businesses. But I think you can say from this it is very good transaction, we are very-very pleased with the market presence it gives us but we’re not this point going to share individual transaction side of this.
Eric Bussières: Maybe just to give a bit of color, if you pay -- if you listen to the call afterwards, but we have increased little bit the revenue target or expectation for 2016 which is a reflection of the acquisitions that we made. So, I think we had signaled last -- in Q3 about 1.1 billion, it’s more in the range of 1.15 billion. Obviously some of the uncertainty is tied to the U.S. dollar, Canadian dollar exchange rates.
Michael Glen: But in terms of all the M&A that you’ve done, like this quarter you’ve broken out you said between FinishMaster and Canada parts, you have an $11.2 million contribution from M&A on the top line. Clearly that’s going to step up in Q1 with the incremental M&A that you’ve done. Are you guys comfortable indicating how much run rate you’ve acquired at this point in time that we should be modeling in?
Henry Buckley: No, we haven’t put that on the table yet. I think what Eric is trying to say is as you know we were giving guidance at 1.1, we’re now sharing guidance up to 1.15. I think that throws a number on the table and we’re probably conservative. But we’ll continue to address that. And it’s hard for us to sit here and give you all of that. We will be calculating every transaction we do because some are small tuck-ins, so far a number of other medium size ones. And I get, it’s a chance for you guys but that’s the zone we’re in, at about 1.15 at this point.
Michael Glen: And just ColorMaster in particular, how much opportunity do you see with that transaction to leverage the MSO relationships that you have in those markets that you’ve acquired into?
Gary O’Connor: It will definitely give us a geographic position with the MSOs especially in the Saint Louis area where they are starting to grow. The number of locations puts us in a great position to continue our relationships with the MSOs.
Michael Glen: And tax rate for 2016?
Eric Bussières: So, the tax rate is 34% and the net cash tax rate is about 14%.
Operator: Thank you. Our following question is from Frederick Trombly [ph]. Please go ahead.
Unidentified Analyst: Just going back to the stock-based compensation. Have you guys -- do you have any hedging in place for that or would you consider putting in place some hedging in the future?
Eric Bussières: Yes, at the current point in time, we do not have any hedging in place for that. It’s something that I intend to look at in the foreseeable future.
Unidentified Analyst: And then, you mentioned rebranding to Bumper to Bumper in Canada. I was just wondering if you could share some details on the timing and some of the benefits that you expect from that.
Henry Buckley: That’s something that we haven’t publicly launched yet, but Gary why don’t you tell everybody about it.
Gary O’Connor: We’ve just launched it at all of our customer base. And obviously our first point of reference is going to be our corporate stores that we’ll be rebranding in next several months. Obviously, our customers are not obliged to jump off [ph] but we’ve had a lot of positive response to it. So, we’ve got a target in our mind that for the end of this year and for -- the feedback we’re getting we were looking for is obviously some incremental growth, more customer awareness and really help our customers grow their business throughout the network. So, we’re really excited about it and very positive about and it’s going to be a project that’s going to take several weeks to completely deploy. But we expect it and this year will be the start of this project.
Henry Buckley: So, if you go back and look at it strategically, we don’t -- we’ve got a diversified brand strategy across the Canadian landscape today. We have Bumper to Bumper which is very strong brand in the Prairies, it’s a adventure household name in the Prairies. We don’t have it at all anywhere else in Canada. Auto Parts Plus is one we utilize in Canada and that is sporadic across Canada. So, our view is very simple, we need to make sure we put a stake in the brand in terms of a full service brand, if you will. And Bumper to Bumper is that today already in the Prairies. So, we have completely reimaged that brand, adopted it for the corporate stores and then have rolled that program out and offered it to our -- all our Canadian businesses as appropriate. So, it won’t mean that we’re going to convert all of our independent Auto Parts Pluses in other parts of the country. If they don’t want a full service brand, they can remain with an Auto Parts Plus menu driven program. So, we really have a great offering for those who want a full service brand and those who want to menu driven approach. So, we have both of those and clearly all of our corporate stores are growing. So that is a refreshing of the entire brand image, is really going to position us on a much better sale across Canada.
Operator: Thank you. [Operator Instructions] Our following question is from Anthony Zicka. Please go ahead.
Anthony Zicka: Henry, you mentioned previously that the M&A pipeline is pretty healthy. Can you give us a bit of comfort in terms of the market conditions, possibly multiple evaluations but how big and how small acquisitions you’re looking at? We know pretty much lower end of the range but let’s say how big could you go?
Henry Buckley: So, let me answer that in a couple of different ways, you also made Steve out his chair there. The M&A pipeline is robust and I’d tell you it’s robust in both businesses. The FinishMaster business has got a very healthy pipeline and I think you’ve seen us, execute on that. The Canadian business equally has the same level of pipeline. We actually have a strategy in FinishMaster that I’m going to dwell on because it’s a very consistent strategy. We deployed it in ‘15, we employed in ‘16. We’re aftermarkets and we’re targeting markets to build density in some of the core urban markets. That strategy remains. The strategy to build out our geographic presence, that strategy remains. So, we have a very fair strategy. We’ve got a robust pipeline. And in terms of the multiples, I’ve shared with all of you, we’ve given you an area you can drive a truck to. That’s not going to change. But we are paying within that range. We’re not going to above that range. We’re very disciplined in our approach. For FinishMaster that typically is in the 6 to 9 range. We so far -- we haven’t impressed any upper limits of that, so we’re very proud of our approach in that. And we feel we had more opportunities in that arena. In terms of the size, we’ll continue to see things such as the one we had in refinish solutions on the East Coast where we have a coupled strategic locations or we build density. We had a painter supply in Denver, great opportunity about to build density in that market. ColorMaster did both for us in a larger scale 15-location. And I think our pipeline has a combination of both of those type of and size of transactions in it that we’re pursuing. In the Canadian space, I think we’ll have continued diet of tuck-ins. Some of those will be our existing members, others like M.A.G. will be outside of our membership group. And we’ll continue to work on larger transactions in the Canadian space, just like we have today. We’re building it out to build out our corporate store group. But I want everybody to remember, it’s not just about acquisitions in both fronts. Our organic growth in Canada, we’re focused on growing that independent customer network and we’re having great success there too. So, it’s a combination of both those things. And I think what’s happened over the course of the last 12 months is we’ve now got a strong reputation in terms of being able to acquire companies, reputation to integrate companies. And I won’t say -- reputation to be easy to do business with in terms of that process. Steve in particular, you’ve had a lot of good feedback in terms of -- from the targets we’ve integrated in terms of our process. So I think we’re very pleased with that approach. In the Canadian side, our multiples are sliding that but probably 6 to 8, 5.5 to 8.5 range probably, so a pretty big range. But again, we’re disciplined to stay within it.
Anthony Zicka: Any change in the competitive landscape?
Henry Buckley: I think they’re changing in both fronts. We saw the same competition in the U.S. marketplace, both for transactions and for day to day business; and I think equally saw in Canada. Garry, I mean…
Gary O’Connor: It’s been very consistent, nothing has really changed materially anyway.
Operator: Thank you. [Operator Instructions] Your next question is from Carolina Jolly. Please go ahead.
Carolina Jolly: Hi, guys. It’s Carolina Jolly from Gabelli. So, I just wanted to clarify that you haven’t stated any range of dollar amount in your planning on spending for acquisitions in 2016?
Eric Bussières: That is correct, we have not given any guidance or views. We’ll deal with those as they become. As Henry said, we would like to do a bigger transactions as possible. It’s all the matter of timing, price and the willingness of the sellers to sell. But we do have a healthy pipeline, so in our opinion we would be fairly active in the foreseeable future.
Henry Buckley: And I think, to reiterate some guidance we’ve already provided. We’re happy to extend ourselves on 2 and 2.5 times EBITDA range in terms of our transactions. And that’s kind of normal course. We’d like to get some leverage back into the business and get the growth in the business accelerated. So, I think that’s a normal course. We’ve also stated that we’d extend that range to sort of 3 or north, a little bit, should we get larger and more transformational transaction. So, I think we have the capacity to do both of those things. And we’re really focused on both fronts, the transformational lines as well as the steady diet. So, we’re not waiting, we’re going both fronts. So, I think we’re well positioned financially to do both of those.
Carolina Jolly: Perfect. And as you expand your corporate store network and as you’ve gone through this process, have you seen any changes in your margins, given it is fairly new initiative?
Eric Bussières: It’s too early to put that out there. We clearly expect these to be accretive in terms of the EBITDA basis, we’re seeing that today. We think we have more upside as we integrate them. But in the FinishMaster business, we’re more mature in terms of the corporate store network. We’re able to integrate onto a platform slightly quicker than we are in Canada. We recently hired a new Vice President and General Manager of our Canadian store group. We’ve brought him from well respected company in North America. So, I think at the end of day, and Gary is laughing, because that we have [indiscernible]. So, we’ve got somebody who is capable to lead the charge there and we’ve got work to do. So we’re looking at a new platform for point of sale, for jobber management. We are making sure we do it right and we don’t fumble. We’re establishing core processes. And that was all underway. We have got a great team of people know doing it. So, over time, you will see the profile change as we have more corporate stores added to the Canadian business.
Carolina Jolly: Perfect. And then just one last quick question, as you gain more traction on the MSO side, I know you’ve discussed it before but can you briefly mention the difference in the margin there?
Steve Arndt: There is a reduction in margin that takes place with the MSO but what comes along with that also is the shared service and the playbook that we create to make sure that with the manufacturer and with the customer, we are very streamlined and very efficient in what we do. So with that reduction we try to make that up in the services that are provided.
Henry Buckley: So the answer to that, what he was talking about is the gross margin and as you would expect when you have bigger customers MSO, you’re going to have a lower gross margin. But his focus on making sure we have commensurate levels of service, reducing our service or cost to serve, that’s driving the same roughly the same op margin for those MSOs as it is the sort of traditional customer base.
Operator: Thank you. We have no further questions registered at this time. I would now like to turn the meeting back over to Mr. Buckley.
Henry Buckley: Thank you very much. I would like to thank everyone for having joined us this afternoon. We really appreciate all you support. We are always here to have questions. And we’ll be endeavoring to make sure we get out in the market and make sure we communicate our strategy on a frequent basis. I’ll look forward to speaking to all of you again in April. And I appreciate the call and thank you. And have enjoyable rest of your day. Thanks every one.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.